Romil Singh: Good morning, and good evening, ladies and gentlemen. This is Romil from Investor Relations site, and I will be the moderator for today's call. On behalf of ASMPT Limited, let me welcome all of you to the Group's Fourth Quarter 2023 Investor Conference Call. I would like to thank you all for your interest and continued support in the company. Please note that all participants will be on listen-only mode when the management is presenting. We will start the Q&A only after the management has gone through the entire presentation. During the Q&A session, priority will be given to the covering analysts. Let me go through the disclaimer Please do note that during this conference call, there may be forward-looking statements with respect to the company's business and financial conditions. Such forward-looking statements could involve known and unknown uncertainties and risks that could cause the actual results, performance and events to differ materially from those expressed or implied during this conference call. For your reference, the Investor Relations presentation for this result can be downloaded from our website. On today's call, we have our Group Chief Executive Officer, Robin; and the Group Chief Financial Officer, Katie. Robin will cover the Group's key highlights, outlook and first quarter guidance, while Katie will provide details on the financial performance, and then we will open the floor for Q&A. So with that, let me hand the time over to Robin now.
Robin Gerard Ng Cher Tat: Thank you, Rom. Good morning and good evening, everyone. It is a pleasure to have you all on the earnings conference call for the fourth quarter and full year of 2023. Before we go through the details of our performance, let me take this opportunity to give some highlights on developments in the semiconductor industry and the overall macro environment. We all know that 2023 was a challenging year for the semiconductor industry. I will even add that it was one of the toughest years in our recent history. Overall, the macroeconomic environment was characterized by one, persistent inflationary pressure; two, a high interest rate region; three, escalating geopolitical tensions and lastly, a slower-than-anticipated recovery of the Chinese economy. This collectively weakened overall consumer sentiment and electronics demand by a considerable degree in 2023. However, amidst, our unique broad-based portfolio provided a certain level of resilience. The prolonged semiconductor downturn adversely impacted our SEMI business with significant revenue contraction in 2023 as demand for PCs, smartphones and other consumer electronic devices dip significantly. However, our SMT business remained resilient, mainly due to continued demand from automotive and industrial end markets, and SMT delivered higher revenue than SEMI for a sixth consecutive quarter in the fourth quarter of 2023. Another advantage of a unique broad-based portfolio is the diversified end markets that we serve. From an end market perspective, automotive and industrial application demand remain robust and continue to contribute the most to the Group's 2023 revenue, even as demand from the consumer electronics and market remain constrained. Let me now share more about what we see as the most exciting part of a unique broad-based portfolio and the one with the highest growth potential. Our advanced packaging solutions. We believe that we have the most comprehensive suite of advanced packaging or AP solutions in the industry. Being deeply embedded in the supply chain of major AI and HPC customers, we are experiencing growing demand from generative AI and HPC applications as these require more advanced tools. So despite a down cycle year, the relative percentage contribution of our AP solutions increased year-on-year to about 22% of the Group's 2023 revenue of approximately US$410 million. Looking ahead, we are very excited about the prospects of our AP business. We estimate that the addressable market for AP will progressively increase from about US$1.7 billion in 2024 to approximately US$3.3 billion in 2028, at a compounded annual growth rate of about 18%. These addressable market and CAGR estimates have increased since our last update a year ago as we factored in prospects from the fast-growing global generative AI market. We are seeing more of our AP solutions gaining traction and further solidifying our entrenched position with major AI players. This gives us the confidence that our AP market share will grow. In the next couple of slides, let me highlight some significant developments within our AP solutions. You may recall the picture on the left of the slide. This is an example of a high-end generative AI or HPC device using 2.5D packaging. These devices are getting more complex as they incorporate an increasing number of chiplets and more advanced high-bandwidth memory, or what we call HPM stacking. The key message here is that we have a range of high-precision bonding solutions within our portfolio that are capable of handling the different interconnect requirements for such intricate devices, most notably our TCB, but also flip chip, hybrid bonding and SMT placement tools. Let me comment on each of these. We will begin with TCB, or thermal compression bonding. We strongly believe that the majority of the complex interconnects of the future can be handled by TCB. The reason is simple. TCB solutions are in an optimal position, occupying the nexus between favorable total cost of ownership and the technical ability to handle increasingly demanding band pitch and placement accuracy requirements. Our TCB solution delivered the highest yearly revenue in 2023 and contributed the most to ASMPT's overall AP revenue for the year. Let me shed light on our engagements in the logic IDM space. We have a solid foundation serving this market, and our solutions have a commanding position in both chip-to- substrate and chip-to-wafer applications for HPC and AI. Looking at logic requirements required by generative AI demand, we want meaningful TCB orders for chip-to-substrate applications from a leading foundry in the third and fourth quarters of 2023, and continue to engage deeply with this customer for a next-generation ultrafine pitch chip-to-wafer TCB solution. In addition, we also want orders from OSATs for both chip-to-substrate and chip-to-wafer application as these OSATs expand capacity to support growing AI demand. Now, let's look at the HBM market. Here, our TCB tools are already in production as a leading HBM player and we continue to support meaningful engagement with multiple HBM players. Based on this ongoing engagement, we are confident of more order flow over the next few quarters. Let me highlight that as HBM packaging requirements become more demanding, it will increasingly require TCB processors. And this is where our technology leadership and expertise come in, as we are ready for both 12 and 16 primed HBM with our next-generation ultra-fine-pitched TCB solution. To summarize, our TCB story, we are the market leader in TCB with the largest in-stock base of tools across the globe. As the first mover in TCB, we accumulated extensive industry learning over the past decade and have come a long way expanding our customer base beyond logic IDMs into HBM, Foundry, and OSATs. I'm confident that TCB will continue to have tremendous growth potential and as its adoption accelerates, we are in the best position to capitalize on the generative AI bone. ASMPT is able to offer the most comprehensive and scalable TCB solutions, and we will continue to expand our TCB production capacity. Let me now touch on our Flip Chip solutions. This has also gained traction from generative AI and HPC application, which require varying degrees of pitch and placement accuracy. There was consistent order momentum for Flip Chip tools throughout 2023, which is expected to continue into 2024, as we engage leading Foundry, HBM, and OSATs customers for both chip-to-substrate and chip-to-wafer applications. Recently, there has been a lot of talk in the market about the potential in AI edge devices. Let me add here that our Flip Chip tools are capable of fan-out -- pick-and-place fan-out applications with lower form factors, which are very well suited for such AI edged devices. Taken together, both our TCB and Flip Chip tools are already catering to AI players at the cloud and data center level. And ASMPT is in a good position to take advantage of the huge potential in AI edged devices when the demand surge happens here. Now, let me comment on hybrid bonding. We have a breakthrough year for hybrid bonding solutions. Winning orders for two tools for 3D integration, which will be delivered in the second half of 2024. We are confident of securing more orders for hybrid bonds in the first quarter of 2024 and beyond. As we continue to engage key customers in various end market applications for our next-generation Hybrid Bonding solution, and we are confident on intercepting the High Volume Manufacturing ramp in times to come. In the device diagram on this slide, you can see that we also have SMT placement tools that help place integrated passive devices on the subset. In summary, this slide emphasizes the wide range of interconnect solution ASMPT has available to handle the complex requirements of Generative AI and HPC devices. Let me cover our Photonics solutions next. On the left of this slide, we show how packages are evolving with increasing bandwidth requirements and where our solutions are relevant for die placement and lens attached requirements. With the generative AI book, there's an ever-increasing need for higher bandwidth and data centers are expanding and upgrading to support this. This expansion is in turn fueling demand for higher bandwidth optical transceivers and co-packaged optics or CPO applications. For transceivers, we have a market-leading range of photonic solutions capable of handling bandwidth from 100G to 800G and beyond. We have a comprehensive range of solution for 400G and higher bandwidth transceivers, and we command a dominant market share in the transceivers market. For CPO applications, our silicon photonic solutions have the best-in-class placement accuracy and highly flexible system capable of handling multiple bonding processes. With our technology leadership, coupled with demand growth, we won't repeat orders from leading AI players in 2022 and expect this order momentum to continue into 2024. I hope this couple of slides on our API capabilities and footprint provide a clear message of ASMPT’s strong and comprehensive technology position in the various types of AP solutions and the overall competitiveness. These are gaining traction in the face of strong demand growth from generated AI. Our automotive end market applications continue to deliver a robust contribution to the group, providing the highest proportion of group revenue for 2 consecutive years at about 22% of ASMPT's 2023 revenue of approximately USD 410 million. This was primarily fueled by growth engagement with automotive players and particularly electric vehicle or EV players to enable more of our solutions becoming the process of record for these companies. We witness demand momentum in the growing EV market, which was supported by the entry of new automators and the launch of more EV motors. An area of keen interest for us is silicon carbon application. As demand for silicon carbide-related application rises, ASMPT has a complete range of solutions to serve this market including laser dicing for wafers, die attach, treasury entering, morning and SMT placement. This value-added solution have helped us to become the preferred co-development partner for a growing base of customers. Looking at the addressable market for automotive and market applications, we expect it to grow from approximately US$1.8 billion in 2024 to US$2.6 billion in 2028 with CAGR of about 10%. As I mentioned earlier, our SMT business provided a certain resilience to our overall performance during the prolonged semiconductor downside, primarily powered by automotive and industrial end market application, SMT delivered a relatively buoyant revenue performance in 2023 and strengthens its position as market leader. SMT performance was in large part due to robust demand for its high-end placement and printing tools, which came mostly from Europe and Americas. SMT contribute higher revenue than semi in 2023, and its revenue has stayed over US$1 billion for three consecutive years. In the second half of 2023, as automotive and industrial end markets started normalizing, SMT bookings softened. However, I must emphasize that our SMT business has exposure to various end market applications. And so even though automotive and industrial end markets were normalizing, there was also growing demand for SMT tools from AI-related server applications. In fact, we received orders for SMT tools from AI server customers and a leading founding player in 2023. As these tools have flexibility in handling varied box sizes with high placement accuracy. More recently, there was also demand from smartphone and wearable applications, particularly for SMT system in package or SIP tools. For SMTs, AP Solution, we are also scaling up and engaging customers with our next generation of tools that have higher placement security. Multi-die pitching capabilities and the ability to pick dies directly from wafer for better performance. These tools are gaining traction across SIP, wafer-level fan-out and embedded substrate applications, and we expect more orders for these AP tools in 2024. With those highlights, let me now pass the time over to Katie, who will talk about our group and segment performance.
Xu Yifan, Katie: Thank you, Robin. Good morning and good evening, everyone. This slide covers the group's key financial metrics for full year 2023. As Robin has highlighted, the prolonged semiconductor down cycle negatively impacted our semi business, with revenue declining 37% year-on-year to US$812.9 million, while SMT experienced milder impact declining 10% year-on-year to US$1.06 billion. Taken together, group revenue performance was US$1.88 billion, a decline of 24.1% year-on-year with SMT contributing about 57% of group revenue. You can see how our broad-based portfolio provides some advantage as our two segments follow different business cycles. For bookings, semis year-on-year decline was steeper the SMT, mainly due to the ongoing semiconductor down cycle. SMT bookings were impacted mainly in the second half of 2023, as automotive and industrial end markets begin normalizing. Our backlog declined to US$846.1 million at the end of the year, compared with US$1.15 billion a year back. Group gross margin was down year-on-year by 186 basis points to 39.3%. Our operating margin declined by 920 basis points year-on-year to 7.5% due to lower sales volume and reduced gross margin. Similarly, group adjusted net profit declined by 71.5% year-on-year to HKD 744.9 million. Adjusted earnings per share, was HKD 1.82 a decrease of 71.4% year-on-year. We had a healthy balance sheet at the end of 2023, with strong cash and bank deposits of HKD 4.8 billion. Our net cash was also at an all-time high of HKD 2.8 billion. Before I go further, let me quickly touch on our strategic investments in 2024 and beyond. Despite the downturn, we'll continue to prioritize investments in R&D and infrastructure. As Robin highlighted, we firmly believe that AP is a strategic growth area with significant upside potential and we're prioritizing R&D resources and capacity investments to further strengthen our leading position. In addition, we embarked on large-scale system rollout or that are focused on people development, IT, ERP and other operational areas, and these efforts will intensify. Once completed, our infrastructure investments will make ASMPT even more productive and competitive. These investments are expected to incur additional operating expenditure of about HKD 250 million in 2024, and this incremental expenditure will be on top of our relatively stable OpEx over the last three years. At the same time, we continue to remain mindful of costs and will continue our cost control and efficiency enhancing initiatives. For 2023, group revenue of US$1.88 billion was a decline of 24.1% year-on-year. Both segments had declined, but it was much steeper for Semi, in line with the prolonged semiconductor down cycle. Group bookings for 2023 declined by 33.5% year-on-year to US$1.57 billion, for end markets, combined bookings from AP, Automotive and Industrial remained stable year-on-year, at about 60% of group bookings for 2023. Group gross margin for 2023 was 39.3%, declining 186 basis points, mainly due to Semi, whose gross margin declined 375 basis points year-on-year to 40.9%. This decline was partially offset by SMT's gross margin growth, due to a favorable product mix, improving 73 basis points year-on-year to 38.1%. Group operating margin declined 920 basis points year-on-year to 7.5%, due to lower sales volume and gross margin. In the fourth quarter of 2023, group revenue of US$435.4 million was marginally higher than the midpoint of revenue guidance, a decline of just 2% sequentially. Year-on-year decline was 21.4%, in line with prevailing industry weakness. Group bookings of US$349.8 million declined 7.6% quarter-on-quarter, due to seasonality. Year-on-year decline was 12.2%, mainly due to SMT. As its automotive and industrial end markets began normalizing in the second half of 2023. Group gross margin increased by 812 basis points sequentially to 42.3% due to gross margin for the previous quarter being exceptionally low and from better product mix for both SEMI and SMT Gross margin improved by 87 basis points year-on-year, mainly driven by SMT. Group operating margin improved by 356 basis points sequentially to 5.5%. Operating margin declined by 825 basis points year-on-year, mainly due to lower sales volume and gross profit. For fourth quarter 2023, SEMI registered a small increase in revenue of 1.2% quarter-on-quarter to $203.9 million, as revenue was down 15.3% year-on-year, in line with industry weakness. The IC discrete business unit had a stable revenue quarter-on-quarter, with the highest revenue contribution from TCB. The Optoelectronics business unit had a small amount of business growth sequentially. The business units is advanced to serving photonics applications grew in revenue quarter-on-quarter and contributed most to its revenue. The CIS business unit's revenue continued to be adversely impacted by ongoing weakness in the global smartphone market. For fourth quarter, SEMI recorded bookings of $158.9 million, down 6.2% quarter-on-quarter, mainly due to seasonality. However, please note that SEMI's quarterly booking in 2023 declined at a slower rate year-on-year for the first three quarters and turned positive in the fourth quarter. SEMI's bookings increased by 10.5% year-on-year in the fourth quarter, mainly from the growth in AP bookings. SEMI's gross margin in fourth quarter was 43.8%, mainly due to a favorable product mix as AP and Automotive contributed to most of segment revenue. It improved significantly quarter-on-quarter due to low Q3 margin. Gross margin was down marginally by 66 basis points year-on-year. SEMI's profit was HKD0.9 million in the fourth quarter. Our SMT segment continued to deliver higher revenue than SEMI for a sixth consecutive quarter in Q4 2023. Fourth quarter revenue was $231.5 million, a decline of 4.7% sequentially and 26% year-on-year. SMT's industrial and automotive end markets combined still contributed most to segment revenue. As automotive and industrial end markets normalized in the second half, SMT's bookings declined in the fourth quarter by 8.7% quarter-on-quarter and 25% year-on-year to $190.9 million. SMT's gross margin was strong at 41% in the fourth quarter, an increase of 493 basis points quarter-on-quarter and 188 basis points year-on-year. SMT's gross margin improvement was mainly due to a favorable product mix. SMT's profit was HKD266.6 million in the fourth quarter, an increase of 3.3% sequentially, but down by 49.4% year-on-year mainly due to lower sales volume. This slide highlights the ASMPT's management's best estimates of revenue breakdown by end market applications for 2023 compared with 2022. These end markets highlight the extent of our broad-based portfolio and our exposure to diverse end market applications. Automotive remained in core position and had the highest contribution to group revenue for two consecutive years providing approximately 22% of 2023 group revenue. Even though automotive witnessed some softness, our comprehensive range of automotive solutions and engagements across a growing base of customers helped this end market maintain its contribution levels. Next highest contribution was from industrial. This market also witnessed some softness, but its percentage contribution remained stable, providing about 16% group revenue. It was also the highest contributor to SMT's performance, benefiting from structural trends towards intelligent factories, renal infrastructure, enhanced automation and digitization. The consumer, communication and computing of CCC markets continue to experience softness due to weak consumer sentiment. The others category includes revenue from spares, services and other applications that cannot be meaningfully identified, and this revenue has remained stable year-on-year. This slide shows the yearly revenue contribution by different geographies year-on-year. Looking at 2023, China, including Hong Kong continue to see a year-on-year revenue decline as its share of group revenue dropped from 42% to 31%, partially offset by year-on-year revenue growth from Europe and Americas. Europe's share of group revenue increased from 18% to 28% and Americas increased from 12% to 18%. Our diverse customer base is spread across the globe and includes IDMs, OSATs, fables, foundries, high-density substrate in manufacturers, memory players, EMS and others. This helps us maintain a low level of customer concentration risk. For 2023, our top 5 customers accounted for approximately 17% of group revenue. We remain fully committed to enhancing shareholder value and returning to shareholders. We have an existing dividend policy to maintain dividend payout at about 50% of group profit on an annual basis. For 2023, the Board has declared a dividend per share of HKD 0.87 in line with this policy. In addition, the Board has declared a special dividend of HKD 0.2 per share on top of the 50% dividend payout. With this special dividend, the total dividend for 2023 is HKD 1.39 per share, a payout of 80%. Let me now pass the time back to Robin for first quarter 2021 revenue guidance.
Robin Gerard Ng Cher Tat: Thank you, Katie. The group expects first quarter revenue to be between US$370 million to US$430 million. At midpoint of US$400 million this represents a decline of about 20% year-on-year and 8.1% quarter-on-quarter. This decline is mainly due to lower revenue from SMT as its bookings began softening in the second half of 2023. Many industry experts have anticipated the semiconductor industry to recover in 2024, which could in turn fuel the next multiyear industry upcycle, and the group remains optimistic about its prospects. Our optimism is further supported by long-term structural trends from automotive electrification, smart factories, green infrastructure, 5G, 6G, IoT, and AI growth across cloud, data center, and AI-based devices. On the broader level, these structural trends are also moving in tandem with increased capacity spend from nations securing their supply chains via more on-shoring and organizations preparing themselves to deal with more dynamic global supply chains. This concludes our fourth quarter and the full year 2023 presentation. Thank you. And we are now ready for Q&A. Let me pass the time to Romil to facilitate.
A - Romil Singh: Thank you, Robin. For asking questions, please either use the raise hand function or you can type your questions in the chat to ASMPT Q&A. Please ask your questions one by one and limit them to maximum of two questions at each turn. Thank you. With that, can I first request Gokul to un-mute yourself and ask your questions?
Gokul Hariharan: Yeah. Thanks Romil and hello Robin and Katie. My first question is on TCB. Could you talk a little bit about your market share in IDM for TCB because there is some commentary in the market that you will be losing share from one of your competitors. So just wanted to understand your market position in your leading IDM customer. And secondly, congratulations on this wins with the leading foundry for chip-on-substrate and potential engagement on chip-on-wafer. How do you see this foundry and OSAT, TCB opportunity uh do you think it is going to become bigger than your IDM exposure in the next two to three years in terms of the number of tools that you could ship. And I think previously you had given us a guidance on doubling the number of tools uh or at least reaching the same number of tools that you shipped between 2012 and 2021 if I remember right in the next two to three years. Given that you raised the advanced packaging growth guidance, is there any update to this tool shipment forecast for TCB?
Romil Singh: Okay. I think, Gokul, let me break it down into a couple of sections. First, let me request Robin to comment on our TCB, particularly in relation to the market share when dealing with the IDM customer base and whether are we losing market share and what is the potential there?
Robin Gerard Ng Cher Tat: Thanks, Rombil. Thanks, Gokul, for the question. So we were the first mover in this particular space for many years and then when this logic customers use our tools to for chip-to-wafer, recall we won a US$100 million order in 2022. So we started to ship this chip-to-wafer tools in 2023 based on this US$100 million that we got in 2022. Now as far as we know for chip to wafer application with these logic customers, we are probably the only one. And for chip-to-substrate, we are aware that there is a second source for this particular customer Next question please.
Romil Singh: Okay. So next one is basically on the foundry wins where our TCB has won orders for the chip to substrate part. And there is some potential for chip to wafer with leading foundry player as well. So can Robin -- can you comment on this potential with the foundry and how it is also sort of moving towards the OSATs or spilling over to the OSATs and how does it compare to the IDMs?
Robin Gerard Ng Cher Tat: We are obviously, very excited to be able to participate in this business, with a leading foundry for chip substrate applications. Now we called out that we won in order, a meaningful order in 2023 or chip-to-substrate application for generative AI 2.5D packaging kind of requirement. And we also alluded in benefit in 2023 that will continue to win orders into Q4 2023, and we continue to win the order. So we backed the order as well in Q4 2023. So for two quarters, we have won a meaningful orders from this foundry customers for chip substrates applications. Now we believe that going forward as the demand for generative AI chip continue to increase, there will be opportunities for the TCB to be used for chip to wafer applications as well. Currently, for chip to wafer, the industry process is still using a 50 mass 3flow. But [indiscernible] in our opimion has limitation as the demand for final pitch and final placement accuracy for triples integration at the chip to wafer level increase So TCB is best case to serve this demanding technology and process requirement as peach and placement accuracy continue to be tighter and tighter going forward. So we believe our current the generation of tools as well as our next generation of ultrafine pitch TCB tools are very well placed to capture the opportunity for chip to wafer application for 2.5D packaging with this particular leading foundry.
Romil Singh: Okay. So last part of the question is, I will acknowledge that we have previously indicated that the demand for our TCB, which was in the last 10 years to 2021, will sort of double from 2022 to 2024. So Google wants to know whether is this still valid? Or is there some upside since now we have actually increased our addressable market and CAGR growth, so can Robin comment on that and give some sort of guidance on the IP growth
Robin Gerard Ng Cher Tat: I think the recent orders from the chip to substrate orders for leading foundry as well as our growing base of TCB business with a sets as well. I think this sort of validated our view that the number of tools for TCB could double, could be the same in three-year time from 2022 to 2024 compared to the first 10 years of a TCB business from 2012 to 2021
Romil Singh: Okay. Thanks. Thanks very much, Robin. Our next question is on hybrid bonding. Could you talk a little bit about what is the progress on hybrid bonding? We do hear that you are engaging with some of the foundries for some micro bump-based hybrid bonding tools. Could you compare your hybrid bonding progress compared to the market leader? And is there a difference in terms of where your hybrid bonding tools are being applied compared to the traditional use case for hybrid bonding, which has been largely like logic to logic direct interconnect. And any further commentary in terms of like beyond these two tools that you've already shipped last year, any -- like does it move to like eight to 10 tools toward in this year or if it will be a slower progress.
Romil Singh: Okay. Gokul, I will highlight here that for -- especially for hybrid bonding. I think due to confidentiality, we are not very able to give more details in terms of customer. And of course, going forward, we can't give an exact indication of the number of tools, which is in the -- for our potential. But I think let me summarize your question then Robin can give more color. First thing, I think Robin can give you some comments on the progress of our hybrid bonding tool. Secondly, engagement that you talk about, is there any engagement with the foundry or leading foundry customers? So any comment on that? And lastly, how do we sort of compare against peers in the market in terms of our own tool and application. So maybe Robin can just give an overview on this
Robin Gerard Ng Cher Tat: Now we had in the MD&A also in the presentation, we did mention that 2023 was a big tool here for us in terms of hybrid bonding, we want two orders, two tools actually in 2023. And these two tools are due for shipment more slightly in the second half of 2024. Now we are confident that we will continue to win more orders for Gen 1. This is -- we're still talking about Gen 1 HP tools. So our Gen 1 was confident that we'll continue to win orders for Gen 1 in Q1 2024 and beyond. Now Google, as what Romil said, we -- because of confidentially, client confidentially reason and also competition reason. We do not want to comment on the clientele that we are serving for HP. Now for -- you mentioned about micro bump. Now that could be a little bit of -- I view that – for HP there is actually no micro bump. When you talk about micro bump, typically, you -- the street is referring to -- or the industry is referring to TCB. TCB has micro bump. So as I said earlier, to answer – when I answered your question on our engagement with leading foundry, as I said we are changing this leading foundry for next generation of TCB tools, which is ultrafine, we have a good technology to address the requirement to pack it's chip as close as possible. So there could be some confusion between our TCB engagement with this foundry and the HP engagement that you talk about.
Gokul Hariharan: Understood. Thank you.
Romil Singh: Thanks, Gokul. Next, can I request Donnie to unmute yourself and ask your questions.
Q –Donnie Teng: Thank you, Robin and Benjamin for taking my question. My first question is regarding to some outlook. So as usual, wondering if you could kindly give us some colors on the booking momentum across SEMI solutions and SMT in the first quarter this year? And also, when you mentioned about the advanced packaging sales was 22% of total sales last year. May I ask how much is from roughly from the TCP? So that's the first question.
Robin Gerard Ng Cher Tat: Okay, Donnie. We don't really break it down in terms of the, you know, different kind of tools for our AP. We did very clearly mention that for 2023, TCB was the highest contributor when it comes to as percentage of revenue for AP for the entire group. I think that's the only color we can give in terms of the breakdown in terms of for TCB. And for your portion on the bookings or bookings, some color, we don't really give official guidance, but I think Robin can provide some bookings color or for 2024 Q1 for both SEMI and SMT. So we'll let Robin share more on this.
Robin Gerard Ng Cher Tat: Thanks, Robin, and thanks Donnie for the question. We see bookings bottoming out for both SEMI and SMT in Q1. We expect Q1 2024 bookings to be around plus or minus 20% better than Q4 2023, which you know, looking at the numbers, Q4 2023 was a very low quarter historically. While we share the view of many others that semiconductor industry looks set for a gradual recovery in 2024, but I think at this point it's still too early to have a clear line of vision on the rate or the slope of the recovery of our business in 2024. A little bit more color between the two segments. At the segment level, we expect SEMI Q1 Q bookings growth to be higher than that of SMT because SEMI was coming off from a very low base in Q4 2023, while SMT bookings only started to soften in the second half of 2023. So I hope I answered your questions Donnie.
Q – Donnie Teng: Yes, very clear. Thank you, Robin. Just one follow-up. I guess for the SEMI, advanced packaging bookings should be growing faster than conventional packaging, right? Or it's not the case because conventional packaging base has been very, very low in the fourth quarter last year?
Robin Gerard Ng Cher Tat: Yeah, right. Donnie, you're right. That's the case for advanced packaging versus what we call more the mainstream packaging solution.
Q – Donnie Teng:  Okay. Thank you, Robin. My second question is regarding to advanced packaging. So maybe from two angles. The first one is TCP. So just want to have some directional comment from you. Do you think that our TCP business opportunities this year will be relying more on HBMs or large ICs? And for hybrid bonding, I know you're not able to comment too much, but wondering what kind of applications will start to use your hybrid bonding? First, is that memories or logic ICs. And is that the demo tool or is it -- or can be for mass production? Thank you.
Xu Yifan, Katie: Donnie, let me break it down because these are two questions. Firstly, on TCB, you want more of a directional comment from Robin that which segment, either HBM or logic will sort of have a better potential for us. So I'll let Robin comment on this first.
Robin Gerard Ng Cher Tat: Donnie, I would say the logic space for both HPC as well as generative AI, as you are aware, we are still very deeply engaged with the logic IDM for a trip to wafer TCB applications and we see continued order stream coming from the space going forward. For the chip-to-substrate, logic for 2.5D packaging from the leading laundry we are so confident that this demand will continue to grow in 2024. As you know, we are probably only the beginning stage of the generative AI boom. So the industry involved in this area is building a lot of capacity. So this will come onstream progressively, so we've been so well positioned for this space, right? So we are confident that we'll continue to gain more traction in terms of supplying chip-to-substrate tools to CCB tools for the logic side as well. And not forgetting, I also mentioned earlier that we are also engaging their customers for chip-to-wafer application, which we are confident it will come because of the increasing demand in terms of bumps and placement accuracy at a chip-to-wafer level, right? So at a certain point, mass reflow solution will face its limitation and TCB because of technological -- higher technological capabilities, we have to -- we will replace the MR solutions for higher and higher AI chips. Now in terms of HBM, I think you should be aware that we have already shipped four tools to a HBM player for truck pipe. We also believe that at some point, as HBM continue to migrate from 8 to 12 to 16 high. Increasingly, I think the MR solutions will also face some limitation, right, in terms of bumping, in terms of placement accuracy. So again, I think at that space from 12 HBM to 16 high, we believe that TCB will be in a sweet spot for such application. So in terms of timing, we look at logics for IDM, leading foundry, 2.5D packaging for chip-to-substrate application will continue, the momentum for 2024 for HBM probably will come at a later point maybe towards the second half and into 2025. That's the climate looking at for the various applications for TCB.
Romil Singh: Thanks, Robin. The next one is on hybrid bonding. Basically, can you comment on what kind of applications is our hybrid bonding tool more relevant for, and is getting the order and traction for? Next is, can you also comment whether these tools are going for demo or production?
Robin Gerard Ng Cher Tat: Of course, we -- sometimes we don't exactly -- a customer don't exactly tell us what they are being used, but we can discern from the packages that these are for, we believe, is 2.5D Logic applications. They are not demo tools, we believe these two are probably already in low-volume manufacturing mode once we ship to these customers in the second half of 2024, they were using it for low volume manufacturing, yeah.
Q – Donnie Teng: Okay. Thank you, Robin.
Romil Singh: Can I request Dylan, do you want meet yourself and ask your question?
Dylan Liu: Yes. Good morning, everyone, and thanks for taking my question. So my first question will also be on TCB and two parts. First, on Logic. Yeah, so as you mentioned in the earnings release, we are engaging with the leading foundry on trip to wafer kind of variance, and yeah, I think this seems promising. But all these, if we translate to a near-term outlook, we also mentioned this year the TAM for advanced packaging could be $1.7 billion. And judging from that, how much of the market share do we expect to get from this addressable market for this year? And/or as a reference, how much did we get during 2013, especially for TCB, because I guess most of the questions during the past earnings calls, we have been discussing about TCB, so I guess it would be helpful to get a sense how much of the revenue have we got from the specific tools?
Romil Singh: Okay. Dylan, I think I will comment one thing here that in terms of the exact market share or that detail, I'm sorry, we won't be able to provide. But let me request Robin to maybe give some color on what's happening with our TCB, especially, say, this leading foundry and some other applications. And what is the potential? Then I think you can engage better that you know how we are progressing. And I believe we definitely have a dominant market position when it comes to our TCB side. We have the highest installed base. And let Robin highlight more to you.
Dylan Liu: May I also add little bit on the memory side as well for the TCB part? Yeah. Sorry for the interruption. So for memory side, you also mentioned the HBM part, maybe you're looking at 12 high and 16 high. But for 16 high, I'm a little bit interested in how we view the opportunity because 16 high, we all know that the high limitation could be a challenge. And if we're not going to bump less solutions like hybrid bonding, how do we enable those technologies? And are we in talks with all of those memory makers for 16 high with TCB? Or it's just some of them they are trying out this possibility?
Robin Gerard Ng Cher Tat: Okay. Let me answer your first question first, Dylan. Now if you look back for TCB 2.5D packaging yes, it has been around for a war actually. And the first solution actually for 2.5 packaging, whether a chip to wafer or chip to sachet. It was -- they were using mass reflow -- flip chip mass reflow. But as the compound die for chip-to-substrate application, gets bigger and bigger, the mass reflow solution will face some constraint. And that's where TCB is best place to place large compound lines for chip-to-substrate. Because for mass reflow, the bonding on from the die on to the substrate is offline because they still need a reflow process to do that. Whereas for TCB is in C2 bonding, right? So you picked out the large die and you place very accurately on to the substrate and then you [indiscernible] way, right? So large time TCB is suited for large die because of this as well as large tied to war. You know, so TCB has better handling of warpage compared to mass reflow. That's why going forward, as the compound die in gets larger and larger, TCB will become more and more relevant compared to mass reflow process going forward for large time. Now that's why we won the orders in Q3 and Q4 of 2023 because of our warpage handling capability for TCB as well as the bump pitch and the placement accuracy requirement. So we see this trend will continue because as AI chips become more and more powerful than the industry will tend to pack more and more chips into an [indiscernible] state. So time will get bigger and bigger. And that's where TCB has a sweet spot for the kind of large type chip to substrate applications. Now for chip to wafer is the picture is slightly different, chip to wafer the requirement is actually more on bumpish and placement accuracy, right? So you need to put a lot of chiplets and chip wafer. So again, TCB has that advantage over the current solution, which is a mass reflow right, because of the same reason. The mass reflow is offline bonding. TCB is in C2 bonding, right? In C2 -- so in terms of accuracy, much better for TCB compared to mass reflow. So we believe TCB we are excited about the prospect of TCB because increasingly, for 2.5D packaging, TCB will be the tool of choice for both chip to wafer as well as chips substrate. Now for memory, kind of similar picture because memory die are very thin, right? So the TCB can handle thin die without breaking the time better than a mass reflow process. That's why we are also excited about the future of TCB being used increasingly for 12 high and going forward into 16 high as well, especially with a new generation of TCB tools, whereby we could the banks could go down to below 10 micron accuracy down to below 1 micron with the kind of a capability, TCB in terms of handling thin die as well and placement accuracy will be very relevant for HBM 12 height and beyond. I hope I answered your question, Dylan.
Dylan Liu: All right. Maybe a follow-up on the mass reflow part because we also mentioned our capability in Flip Chip and that's fast reflow, right? So just to clarify, when we talk about our opportunity in Flip Chip, the panel-level packaging and stuff, that's separate from the 2.5D advanced packaging opportunity? Is it
Robin Gerard Ng Cher Tat: Sorry, Dylan can you repeat your question, again?
Dylan Liu: So because we are saying that TCB could be better positioned and 2.5D advanced packaging kind of use cases and compared to mass reflow. And at the same time, we also highlight our capabilities in Flip Chip or mass reflow technologies, so are these the two like for separate applications? Or are Flip Chip is also in 2.5G advanced packaging right now. But at some point, maybe TCB that will replace it.
Robin Gerard Ng Cher Tat: Dylan, I got your question right now. Both MR and TCB will coexist in the future because not all -- not every AI chip require the kind of bumpish and the kind of precision that's required for TCB. So the -- let me put it it’s a range of AI chip. The lower range of AI chip is still possible to go for MR solutions. But increasingly, you're right, as we demand more and more from generative AI, Increasingly, I think the trend is to move towards a TCB solution. I hope I answered your question, Dylan?
Dylan Liu: Yes, got it. Thank you very much. So maybe my next question will be on R&D because we also highlighted we will spend an 0incremental 250 million of R&D for maybe our R&D capabilities, infrastructure and stuff. Can we try to how to put it – can we try to quantify how much R&D we are spending for advanced packaging? Because I think as a group, we have quite some R&D budget compared to our peers. But when it comes to only for advanced packaging, how much resource are we putting into it? And like I mentioned previously, we are now progressing well with TCP and even we are trying to expand our market share in hybrid bond. And with all these opportunities out there, do we have sufficient R&D resource to support all these projects, especially for those so-called AA customers.
Xu Yifan, Katie: Dylan, this is Katie. Thanks for the question. Let me probably give you some context. First, a correction of the 250 million investment that I mentioned in the prepared remarks, it is for both R&D and infrastructure. So of the 250 million, roughly half of that is for R&D. Okay. So then coming back to your question, R&D, as Robin mentioned, ASMPT has the leading technical and product positions in several areas. So we will double down on our AP investments in R&D resources and capacity, so the R&D resources basically will be deployed to engage our potential customers earlier and more embedded. They will work with our newly expanded customer base very closely, and they will continue our development in next generations of technologies, such as TCB Hybrid Bond, photonics, a couple of them. You mentioned those already. So the -- other than the OpEx of half of $250 million, just so you know that we actually have a CapEx investment plan as well to ensure that we have the right capacity to meet the growing demand. So in short, we are very excited with our market-leading position. And we are -- we will double down. So the -- in terms of the R&D resources, you had a question about percentage, we don't have the exact -- we don't share the exact percentage, but I can assure you that for Semi R&D, a very decent portion of the R&D expense actually goes to AP-related technologies. Okay? So, just a little bit more color on the other half of the OpEx that's more so for the infrastructure side. When we see the infrastructure, these are the projects like the ERP Overhaul, new HR and R&D systems, cybersecurity enhancement, et cetera, right? So those are multi-phased and multiyear projects. And they are at different stages of implementation right now and will intensify in 2024. Upon completion of these projects in the coming years, we expect to have better efficiency and productivity across different functions. So Gill, I hope I answered your question.
Dylan Liu: Sorry, just to further clarify one point. When you say double down the resources for AP, how much of the incremental OpEx we are talking about? Because we don't have a percentage of R&D or OpEx disclosed specifically for AP, but we're doubling those budgets, right?
Xu Yifan, Katie: Okay. When I say double down, I think it's just scripted terms to say that we are determined to invest more. It's not a double down in mathematical terms.
Dylan Liu: Oh, Got it.
Xu Yifan, Katie: But again, yeah, I think, the incremental R&D that we talked about the half of the $250 million, you can consider the majority of that going to AP, if not all.
Dylan Liu: All right. Thank you. This is all for me for now. I'll back -- I'll be going back to the queue.
Romil Singh: Hi Eric, can you read yourself and ask your question?
Unidentified Analyst: Yeah. Thank you and good morning. Thank you for taking my question. I'm asking on behalf of Sunny and Randy. So my first question is also around TCB. I think previous earnings call you talked about in terms of the -- for the inflection point of TCB growth and that HBM could be a more important driver than Logic, given more facts. I think from today's presentation, it sounds like you're even more upbeat by Logic. So I was just curious about whether the statement about memory better than Logic in terms of TCB ram as holds at this point? That's my first question. I have a follow-up.
Robin Gerard Ng Cher Tat: Yeah, Eric, let me answer your question. Yes, we are -- at least for 2024, we are more upbeat in terms of Logic application of ramp compared to HBM. For the reason I said a few times in the call already, because at this moment, the HBM are still focusing around the high kind of space. So at that level, MR solution is still the preferred solution in opinion. But as HBM migrate to 1,200 and beyond that's where we think our TCB solution will be a sweet spot, okay? So I think that's a short answer for your question.
Robin Gerard Ng Cher Tat: Any follow-up questions from you, Eric?
Romil Singh: Hi Karen. Can you unmute yourself and ask your questions?
Unidentified Analyst: All right. Thank you Robin and management for taking my questions. Some of the HPM question will address by my other peers. So, I just want to ask a little detail on as we go into talk high 6, how do you see the TCB capability compared to hardware funding? And as we are talking about we are having more and more confidence in getting more of going more towards for HPM application. Are we talking about for TCB or HPM products?
Romil Singh: You mean whether we are talking about HBM-related application for our TCB and hazard bonding?
Unidentified Analyst: Yes.
Romil Singh: Okay.
Robin Gerard Ng Cher Tat: I think for TCB solution for HBM, there's a long way to go because we are -- together with our partners, we are continuing to push the boundary of TCB for HBM solution going forward. Now, it's a perennial question and answer, right? So, we have been saying at the end of the day, it points down to the cost of ownership using TCB solution versus hybrid bonding. We mentioned this many times that I think between the two at this point in time, it tends to favor a TCB solution because of the cost -- total cost of ownership position -- favorable position for TCB versus hybrid bonding. However, going forward, increasingly, as we see, this trade technology, whether it's a mass free flow, whether it's a TCB or whether it's a hybrid bonding, we strongly believe these three interconnect technology will continue to exist and coexist at the same point. It all depends on the current requirement, right? So, if you need very high-end performance, probably speeds solution, if we don't need the kind of performance, maybe MR could be the solution, but we believe TCB is at a sweet spot, overlapping these two areas and have rebounded at this point in time.
Unidentified Analyst: Okay. Thank you, Robin. Just a quick follow-up for mass [ph], could TCP our capability currently support your specific special requirement for shifting high HBM?
Robin Gerard Ng Cher Tat: We believe -- so there's really no -- any volume production for this particular requirement at this point. But looking at our next generation of TCB tools, we believe we are well placed in to serve the HBM for shifting high.
Unidentified Analyst: Okay. Thank you, Robin. My second question is just on the -- I guess, the mainstream products that advanced packaging. Just wondering, in the past three months, do we see more of the -- how do we see our customers order trending? Are we seeing more order pulling in or sound order pushing out?
Robin Gerard Ng Cher Tat: Okay. Good question. Now, I think increasingly, as we do a channel checking with a customer base for mainstream packaging other than AP, we are quite happy that to hear that the utilization -- the utilization rate has been increasing, although not in a very sharp manner, but at least increasing over time. So for two supplier as we monitor these metrics because when you hit a certain level, factory for utilization, then they'll start ordering new tools. So I think that is encouraging. But is it broad-based? Probably not. We -- for Q1 so far, we see some uptick in demand from China for some of these mainstream applications. But these tend to be more in our opinion, a little bit more sporadic than broad base. So this is the kind of situation we are seeing right now.
Unidentified Analyst: Right. Thank you, Robin.
Romil Singh: Hi, Simon, can you unmute yourself and ask your question. Simon you…
Q – Simon Woo: Yes, Can you hear me now.
Romil Singh: Yes, we can hear you 
Q – Simon Woo: Yes. Thank you very much. So yes, we appreciate. Number one questions is regarding the revenue mix trends focusing on the 2023 results. And then the second question should be more TCB and Hybrid Bonding related, and then I have some suggestion for your TCB material. So the revenue mix, a little confusion although the package is a very promising, growing area. But the 22% of the out of $1.9 billion, that includes the SMT as well, right, non semis
Robin Gerard Ng Cher Tat: It doesn’t 
Q – Simon Woo: Yes. Any rough idea, what's the exact rough idea of the mix of the other packaging for pure semis, which is mainly for bonding area versus SMT
Romil Singh: We don't really break it down. And as you know, that under semi, we have quite a few solutions for AP then we have a smaller portion of AP, which is under SMT. All I can say is majority is from semi, but we don't exactly break down the revenue split between the different AP products.
Q – Simon Woo: Yes. Well, how about this was to divide your maybe pure semi-TCB installed base [ph] packaging. How about this previously, I think you mentioned that the good track record for the TCB since 2012. So up to maybe sometime in 2023, the punitive shipment unit of about 300 units and then the price 7-digit million 7 digits dollars that means about $1 million per unit price. So would you please recap maybe already you closed the 2023 result? What's the cumulative number of the TCB from 2012 up to the end of 2023, and then we can actually the -- your flagship TCB ASP 
Romil Singh: So okay, Simon I can say that I think what you're saying in terms of the TCB ASP, generally, the 7-figure amount that is correct. In terms of the TCB installed base, it's roughly about 350 , okay? These are the two figures I can provide to you.
Q – Simon Woo: Yes. So 50, you mean?
Romil Singh: Yes, sir.
Q – Simon Woo: That's the -- and then the majority, mostly the logic rather than memory, as you mentioned many times.
Romil Singh: Yes, we said in the call earlier that we have only four tools in production when it comes to HBM. So, of course, majority are logic related.
Simon Woo: Yeah, that's why you also mentioned that the TCB for HBM will be actual sales figure from second half 2025, is it correct?
Robin Gerard Ng Cher Tat: No, we probably will see some order flow towards the second half of 2024 for HBM. That's how we are looking at it, yeah.
Simon Woo: Yeah, but you mentioned that the second half, 2025 next year, is the actual- 
Robin Gerard Ng Cher Tat: No, no, no. I said we will probably see some orders for HBM, TCB towards the second half of 2024 into 2025. It could be a little bit of timing issue, but around that kind of timeframe, yeah.
Simon Woo: Oh, I see. So second half 2024 into the -- maybe second half of 2025, do you think?
Robin Gerard Ng Cher Tat: No, you'll continue. Once we receive the orders in 2024, second half, you'll continue into 2025. This is how we look at it. So, so, the HBM, but HBM for us, as far as TCB for us, it will come later than logic, the way we see it. Yeah.
Simon Woo: Yeah, yeah. And some may also said 16 high for HBM with a TCB, very challenging thing. That's why they are thinking of a hybrid bonding. But today you mentioned that the 12 dyes, sorry, 16 dyes will be okay even with the TCB. That's your point.
Robin Gerard Ng Cher Tat: Yes, we believe our next generation ultra-fine pitch, environmentally friendly kind of a TCB solution will be very relevant also for 1,600.
Simon Woo: Yeah, and then the last part is hybrid bonding so far so good with the two orders, right? So that is mainly for the logic so far.
Robin Gerard Ng Cher Tat: Yes, and this will only be achieved in the second half of 2024, the first two.
Simon Woo: Yeah, back to the mixed equation again, the slide 18, the China portion maybe down from 42%, 31%. But the headquarter office, for example, Korea, Taiwan, or US, but they also have operation in China. So the question is, if you generate revenue with maybe Korea based, Taiwan based, the chip makers, but your delivery sometimes the China fed, right? So you're here, the revenue mix for China versus the Europe is more the customer's headquarter office based portion or actual the equipment delivery based one?
Robin Gerard Ng Cher Tat: It tags to where the order comes from, right? Say for example, if the orders come from China, then you'll be tagged as a China mix. But if the order comes from Korea, for example, but shipped into China, then you'll be a Korea mix. Yeah, so it will be tagged to the order.
Simon Woo: You mean the head of cutoff is all the way?
Robin Gerard Ng Cher Tat: Yeah. Where the order comes, yeah, yes.
Simon Woo: Yeah. All right. So my suggestion for the pitch always great but like other tech companies you will be great if you can add some basic financial statement in the presentation material otherwise we have to look at the -- result presentation material and then we have to look at your financial release -- we have to juggle with different materials, yeah so that's my suggestion. Yeah. Thank you. Appreciate you.
Romil Singh: We'll take your view into consideration.
Simon Woo: Yes. Thank you so much.
Romil Singh: Thanks. Wern, can you unmute yourself and ask your question.
Unidentified Analyst: Yes. Thanks, Romil and thanks Robin, Katie for taking the time. It's pretty late. I have two questions. My first is just regarding again, TCB. Just on the substrate side, right? Is that a rational assumption to assume that -- just in terms of the production ramp on a production ramp basis in 2025, this will probably be not as substantial as your existing orders for the US IDM now given that -- as I understand, and you can correct me if I'm wrong, the US IDM, their TCB or even applications where they didn't really need those packaging? That's my first question, and then I have a follow-up. Thanks.
Robin Gerard Ng Cher Tat: I can comment on really customer specific. Now in terms of chip substrate ramp, whether at the logic side or the 2.5, the -- I think both -- we see both continue. The momentum continued from 2024 in FY -- into 2023 into so far 2024, so Q1 of 2024, sorry. So I think from the perspective, we like it because both sides of the business are still continue to require TCB solution from us. The logic side is mainly SiP, wafer and so far for the foundry segment, we repeat is the substrate, but we are confident of gaining orders eventually also for chip wafer.
Unidentified Analyst: Got it. And then my follow-up is just regarding your forward bookings, 20% increase Q-on-Q. Just a couple of assumptions there. It just seems like SMP is holding up a bit better than expected given industrials, you don't see a significant decline as auto, so that's kind of offsetting a bit of that weakness. And then SMT SiP is also increasing Q-on-Q. So my general overall question is, is the forward bookings mainly supported by just general resilient SMT demand, some increase in consumer and then an improvement in AP.
Robin Gerard Ng Cher Tat: So you are focusing on SMT as saying, right?
Romil Singh: Not only is – I think he is talking about mainstream and semi as well. Okay. One, we did highlight that SMT was sort of bookings were normalizing in the second half of 2023 because of auto and industrial. And we expect sort of little bit of a gradual, stable kind of recovery from there. And majority of the increase, we are talking about for Q-on-Q is going to come from semi.
Unidentified Analyst: Got it. And this is largely AP. I've been hearing some signs that there's just been a general pickup in 28-nanometer orders just in legacy tester orders. So -- but you haven't seen anything related to that, right, some guidance from some of the Taiwan supply chain is saying up to 2022 levels. But I just wanted to check if you had anything.
Robin Gerard Ng Cher Tat: No, I think in general, we -- I think AP Automotive driving the momentum in terms of bookings into Q1, 2024. I just answered the question on the China space, right? So we see some sporadic demand for mainstream. So I think that's a good sign. And hopefully, mainstream will continue to pick up steam as we progress through the quarter.
Unidentified Analyst: Thanks a lot, Robin. Thanks, Romil. Thank you. That's all for me.
Robin Gerard Ng Cher Tat : Gokul, do you have a follow-up question?
Gokul Hariharan: Yeah. Thank you for the chance to ask the question. Just quick thoughts from Robin on both SEMI and SMT. I think on SEMI, I think some of the third-party forecasters have talked about packaging revenues going back to double-digit growth this year, after two years of pretty bad declines. Robin, do you kind of directionally agree with that based on what you see on the order book? Some of your customers have also talked about 40% to 50% increase in machinery CapEx, including the largest OSAT vendor globally. Second on SMT, do you think SMT revenues are likely to decline this year because of this weakness in auto-industrial bookings, or do you have enough non-consumer SMT businesses which kind of offset the decline in auto-industrial this year? Thank you.
Robin Gerard Ng Cher Tat: Thanks, Gokul. Now, the way we see the outlook for the full year, I think what is so far promising is that we see bookings bottoming out. But however, as I said earlier, when I answered the Q1 bookings, we can't see too far for the whole year. But when we talk to industry experts, many share the view that 2024 will be a recovery year for semiconductor, probably gradual, right, and then 2025 should be stronger, right? But for our business, as you know, we can't see too far, right? So at this juncture, we don't have a clear vision of what the rate or slope of this recovery will be for our business. Now, within the two segments, we feel that the SEMI will recover stronger than SMT because SEMI has been in the downturn for two consecutive years, 2022 and 2023. 2022 was a steep one, right? So if you look at our bookings for SEMI in Q4, it was really low, right? So bouncing off from a very low base is kind of expected, in light also with the overall view that 2024 will be a gradual recovery year. Now, as SMT, as we mentioned many times, also in the NDA, that they follow slightly different cycle, which is a good thing for us, right? So we have two segments that have different cyclical pattern. So SEMI will recover first, and then maybe one to two quarters later, SMT will follow suit. So this is the booking trend. In terms of revenue, it takes time to convert our orders, right, into delivery. And this is also dependent on a few factors. First is what kind of orders are we receiving? If we receive more AP orders, then the lead time will be longer than maybe around six months, nine months. But if you receive more mainstream orders, it can be converted quite fast. So there are a number of factors, you know, which will determine the conversion from booking into delivery. So we can't really see too far, but these are some of the metrics that we are watching.
Gokul Hariharan: Okay. And you think SMT could still be a growth year this year, based on whatever we see right now.
Robin Gerard Ng Cher Tat: I think from a bookings perspective because of the recovery of the semi or flow down to SMT, for the revenue side, it all depends how strong this recovery would be for booking. It is stronger in the first half. We could see a recovery of revenue, right? But if it's not so strong in the first half, then we probably will push out to 2025. So it all depends, we can't see at this point in time here.
Gokul Hariharan: Okay. Thank you.
Robin Gerard Ng Cher Tat: Thank you.
Romil Singh: I think we'll have to conclude the Q&A session there. And for remaining questions, we'll reach out to the analysts directly. And just before closing, can I request Robin to say a couple of words, and then we'll end the call.
Robin Gerard Ng Cher Tat: So let me take this opportunity to highlight some key takeaways. Our unique broad-based portfolio provides a range of advantages that include resilient student downside, our rich technical expertise and engagement with many different types of players. Together, this enable us to scale higher and more rapidly when the industry move into a growth phase in key application areas such as generative AI and fuel demand cycle. We are excited and confident of our AP potential based on a number of factors. One, our entrenched position with major players; two, our expanding AAP addressable market; three our confidence in capturing market share and fourth, our leadership in TCB that position us well to meet accelerated adoption for logic and HBM. This concludes our call, and I'll see you all in the next quarter. Thank you, and take care. Bye-bye.
Romil Singh: Thank you
Xu Yifan, Katie: Thank you.